Andrew Cole: Good morning everybody and thank you for joining us for our Q3 results today. I have Warrick Ranson, our Chief Financial Officer on the call with me and we'll take you through the highlights of the last three months and then of course we'll follow this we'll go to Q&A. In summary, I think it was a solid quarter and as we continue to work in an agile way to navigate the fairly uncertain operating environment that we all find ourselves in as a result of COVID-19. This has pleasingly enabled us to raise gold production guidance and for the second time this year lower cost guidance. It has certainly been a busy few months as we'll cover for you today that we have just as busy a couple of months coming up ahead as we head into Christmas and to close 2020. On the disclaimer slide as always, our disclaimer is available on our website together with this presentation. I'm actually going to kick off with a few highlights from the last three months. It's been encouraging to see the interstate travel restrictions change over the last couple of months. This has actually enabled us to resume drilling and stakeholder engagement activities interstate which I will get to a bit later on in the presentation. While the restrictions continue to be lifted and we see things being relaxed in broader society, our teams are very mindful about staying alert and operating in a COVID normal way given what we are all observing globally. Thanks to everybody's efforts we are currently have no COVID-19 cases identified at Prominent Hill or at Carrapateena and the number of people from our Brazilian team who are currently positive for COVID-19 remains in the single digits all of whom are well and are isolated at home pending negative test results. This time of year I always sees quite a bit of activity and I think that's even more so the case for us as we move to progress our strategic aspirations and our priorities and continue to advance our strong growth pipeline. You'll see from this slide that we've sustained our solid operating performance across the assets and with a further reduction of cost guidance and a further increase in gold production Prom Hill achieved record underground all movement over the last three months. Cara remains on track for 4.25 million tons per annum by the end of 2020 and the Carajás hub at Antas received its first development ore from Pedra Brancha for processing. This has all enabled positive improvements to our 2020 guidance which I will outline through the deck today. What drives our people to deliver quarter-on-quarter is a strong collective alignment to our strategy which at its heart is all about people; the people we define by our five stakeholder groups who we aim to create value for. As you know we've also identified a set of company aspirations and priorities to help us focus our efforts on three or four high impact activities under each strategic element so we can rapidly progress toward our desired future state. I will talk to these a bit more and provide some updates on the progress being made on a few example priorities but first as a quick recap our aspirations and priorities came about when we launched Project Beyond. A project to help accelerate us toward our strategy instead of initiating a crisis recovery process for COVID. As part of Project Beyond we defined a number of key tangible aspirations that are now baked into our strategy. These will form the basis of our planning processes year-on-year to ensure we stay aligned and very focused. Once we had our aspirations we then gathered ideas from our people on how to achieve these which we then shaped and distilled into acceleration priorities designed to be important short-term actions to move us toward our aspirations. And rather than just talking about them as concepts we've taken these priorities and aspirations and put them into action. Let me give you a few examples of this. We're currently working with the crowd on a few of the challenges we currently face. We partner with people like Deloitte and Unearthed so we can learn from outside our industry as we look to find solutions on things like reducing carbon emissions, visualizing and strengthening our local supply chain and generating exploration targets in new ways. We are learning to operate in a more agile manner baking in key concepts from agile methodologies and lean methodologies into the OZ way of work so that we are better placed to respond to an unknown and fast evolving future. We have normalized remote working to build flexibility for our people where we can currently do so and while some roles will always need to be on site, we still have a lot more room to allow many current on-site roles to be made more flexible and potentially done remotely to ensure people can plan their work around their life and not the other way around. As a result we are working on using our physical spaces as hubs for connecting, socializing and collaborating. As a small example, we have the pleasure of hosting the  Oz - Emmy 2020 awards which streamed live from our offices just last week. You'll see on the company's snapshot slide an overview of our attic and projects at different stages of development. Value accretion for our stakeholders is at the center of our strategy and we consider our strong project pipeline to be one of the keys to value creation as it gives us a range of growth options to tap into at any one time. It is a diverse pipeline with more mature opportunities like the Brownfield Carrapateena and Prominent Hill expansion projects ones like the Greenfield West Musgrave project and the longer dated lower maturity ones at the more exploratory stage like Carajás and Pantera. This is a pipeline that will remain dynamic with new opportunities added and some removed. We also plan ahead to allow flexibility, for example our new 270 kilometer power transmission line to Prominent Hill via Carrapateena has just been completed. It ensures reliable, secure and affordable power transmission for our existing South Australian assets and also enables our future expansion aspirations in the region. We do on occasion get asked about whether we have too many projects in our portfolio, but having a suite of options makes for a strong company. As a result, we can truly allocate capital to the most value accretive options and park or sell those that aren't. Optionality and flexibility is another important key to our approach. The main thing to note on this edition of our asset timeline is the successful completion of the acquisition of Cassini Resources *. We're very pleased to now have 100% ownership of the West Musgrave project in the province. The consolidation of our ownership position in the West Musgrave province including surrounded tenements at One Tree Hill and Succoth * enables optionality regarding the optimal approach, timing and funding for the project. Pleasingly, the West Musgrave team recently returned to the lands to discuss the project, our thinking and the process for the EPA part 4 referral to get further input from the traditional owners. Our team spent a couple of weeks with local people walking the project site which enabled a much better and improved understanding by all involved. Moving now to a summary of our activities for the quarter. As I mentioned briefly, we saw solid asset production performance and progress on our growth projects during the quarter. We have increased annual gold production guidance because of continued strong grade performance and recoveries of Prominent Hill. We were also able to reduce annual cost guidance on the back of continuing strong operational performance and gold pricing.  At Prom Hill, we achieved record underground gold movement with 1 million tonnes for the quarter. The accelerated decline development that's currently underway is expected to see increasing mining rates up to 4 million tons to 5 million tons per annum from 2022. We are looking forward to the Prom *Hill expansion study that we now expect to release in November; just a month away and the new 270-kilometer power transmission line to Prom Hill via Carrapateena has been completed and is now fully commissioned. At *Carrapateena, the ramp up continues to progress well with underground all movement on track to reach 4.25 million tons per annum by the end of this year. We are also progressively de-risking the Carrapateena Block Cave expansion option with stage one of the Block Cave expansion feasibility study continuing with an expected completion date of late 2021. I mentioned the completion of the Cassini acquisition, the team is currently scoping the next phase of study and now expect to be able to provide a project update by the end of this year. In Brazil, we started trucking Pedra Brancha development ore to the Carajáshub and Antas for processing. We also saw some really encouraging early drilling results at Paes Carvalho and Santa Lucia, both of which are within trucking distance to the Carajás Antas hub. And overall we remain in a positive net cash position at $18 million *after a one-off Carrapateena payment and growth investments with significant liquidity available. Now over to Warrick, who's going to take us through cash generation please.
Warrick Ranson: Thanks Andrew and good morning everyone. Another solid quarter as Andrew mentioned contributing to operating cash flow being maintained and maintaining our net cash position on par with the half year despite the inclusion of the deferred consideration payment for Carrapateena this quarter. As a result, we maintained a 100 million draw on our revolver continuing to flex that facility as required in line with our working capital requirements. Pleasingly, we've had no COVID-19 interruptions in our supply and customer chains again this quarter despite reported cases increasing internationally. Both are continuing to operate normally, although we are seeing some tightness in vessel availability given the longevity of crew deployments at the moment. Although related shipment timing did result in an increase in closing concentrate stocks at the end of the period. However, this was offset by a reduced trade receivables balance and the continued reduction of ore inventory as we process the high grade gold stockpiles of Prominent Hill. We will see the depletion of that material in Q1 next year and then move to the lower grade stockpile reducing Prominent Hills comparative gold *production year-on-year. Project development continued through the quarter and we're able to recommence a number of field-based activities in the second half of the quarter as COVID restrictions lifted. Underground development continued at Carrapateena down to the third sub-level and also at Preda Brancha in Brazil where we have started to see a lift in the spend as activities increase. The top study work was also progressed for West Musgrave as we finalized the Cassini acquisition. We expect to see a pickup in exploration activity during the last quarter with drilling activity now advancing at a number of locations. On slide 10, we've introduced a new slide into our deck this quarter following the overview we provided on our approach to capital management as part of our strategy day back in June with the intent of referring back to this in future result presentations. As I noted on that day, our approach to capital management remains dynamic and partially driven by what is happening around us, but the way we approach capital management ultimately gives us a strong platform for accessing finance to fund our operations and future capital investment and is therefore a key focus in how we operate. Our balance sheet strength, portfolio choice and operating performance are all core elements in how we best position ourselves to create value for all our stakeholders. Our role at the center is of course to maximize that value by creating earnings diversity, contributing to the community, challenging our environmental performance and generating shareholder returns aligned with the aspirations we've set ourselves and that Andrew touched on earlier in the presentation. So during the quarter inclusive of the Cassini acquisition we committed $215 million to growth projects and a further $15 million in extending the development pipeline through studies and exploration activity. In line with our sustainable dividend policy, the board also confirmed the maintenance of our interim dividend at $0.08 per share for a payment in October supplemented by the reintroduction of our dividend reinvestment plan. As I noted, we intend to keep coming back to this and we'll refine the slide going forward as we advance our pipeline over the next few years. Andrew?
Andrew Cole: Thanks Warrick. Now moving into a bit more detail on to Prominent Hill where the team delivered over 14,000 tons of copper and 51,000 ounces of gold for the quarter. As a result of continued strong grade performance and recoveries we have again raised gold production guidance to 190,000 to 200,000 ounces. Copper production guidance remains on track for 55,000 to 65,000 tonnes. We again lowered C1 cost guidance for 2020 to U.S. minus $0.60 to minus $0.50 per pound and all in sustaining costs to U.S. $0.05 to $0.15 per pound. Gold hedge maturity has been matched primarily with consumption of open pit high grade stockpiles. To reaffirm the high grade stockpile is expected to be fully depleted by the end of 2020 which will see lower grade residual stockpiles supplementing underground ore from the start of 2021 through to early 2023 resulting in overall lower gold production from 2021 onwards. I'd like to take a moment to acknowledge the Prom Hill underground team for achieving a record production rate exceeding 1 million tons in the quarter. This is a significant milestone given the complex environment they are working in and it provides us with increased confidence in the team to not only be able to deliver 4 million tons per annum sustainably but be able to increase their mining rates to between 4 million and 5 million tons from 2022. The Prom Hill expansion study is progressing well with ongoing resource, conversion drilling and engineering studies continuing to support the viability of a hoisting shaft to enable lower material handling costs, a higher underground mine production rate and economic development of the deeper zones of the non-mineralization. The new power transmission line to Prom Hills completed and successfully commissioned in early October on schedule and on budget. In addition, we also secured a favorable two-year South Australian electricity supply contract. This is a major milestone for us as we now have a backbone line into the South Australian grid that already enjoys a 50% renewable penetration that can supply sufficient power for any expansion we may contemplate at both Prom Hill and at Carrapateena. Finally, it was good to see the start of the stage 2 drilling of targets from the Unearthed crowdsourcing challenge we ran a couple of years ago which was put on hold as a result of COVID earlier this year. I'm now going to hand back over to Warrwick who can take us through the Prom Hill cost performance. Please.
Warrick Ranson: Thanks Andrew. So yes, yes another strong performance across the group on C1 costs this quarter with the ongoing benefit of strong gold production in a positive pricing environment. Whilst we continue to benefit from the strong gold price reviewing our full year guidance as a result even at long term gold average of let's say $1,200 per ounce the team's C1 cash cost performance remains solid and well within first quartile limits further confirming Prominent Hills position as a low cost producer in the market. FX rates moved adversely for the quarter from an export perspective at least and increased by [indiscernible] to a quarterly average of just above $0.71 to the U.S. dollar the strong underground performance of over 1 million tons for the quarter lifted average mining costs as we preferentially feed all our underground ore through the plant. Processing costs again reflected the standard fluctuation we see from shutdown timing. Pleasingly we confirmed a new electricity supply contract for our South Australian assets which will commence on January 1 following the expiry of our current supply arrangements. A black energy price reduction of [indiscernible] 20% in the first year and a further 12% in year two continues to see a favorable reduction in what is about 15% of our input costs continuing the decline since the spike in pricing that we saw back in 2017. Offsetting this gain will be the commencement of the line leasing and operating costs for the new hill to hill power line which will commence in the fourth quarter. All in sustaining costs followed the C1 trend spend on sustaining capital increased quarter-on-quarter as work on the wall lift schedule for the Prominent Hills tailing facility progressed and we completed the north wall push back and took the opportunity to undertake some remediation works at the top of the West wall in the pit. While it's not part of the sustaining capital the team of Prom Hill has also done a great job in commissioning the Malu Paste Plant in August and successfully ramping up to nameplate during the quarter. This is already providing additional productivity to the underground which will continue to flow through to our C1 cost performance. Andrew?
Andrew Cole: Thanks Warrick. Moving on to Carrapateena. So Cara produced over 7,000 tons of copper and 13,000 ounces of gold during the quarter and is on track to meet the raised production guidance for 2020. As we've now developed the top levels of the Carrapateena ore body and drilled horizontally ahead of the next several levels we're getting a much better understanding of the ore body, its controls and its great distribution. You will note that the grade of your mind here today is currently lower than the reserve grade. This is the result of a much more complex paleo surface than originally modeled for the non-geologists on the call this is the intersection between the older vertical ore body and the younger horizontal cover sequence. This old horizontal weathering surface has also leached some copper from a vertical fault in the middle of ore body on the upper levels. Given this is a paleo weathering event we expect to see this limited to the upper levels and that mind grades trend upward from here. The first major mill shutdown and realigning was successfully completed during the quarter without incident or injury and ahead of schedule. Underground development continues to progress well with over four kilometres achieved in the quarter. The western access road contract has been awarded with early works beginning in Q4 this year and major construction activities to take place next year in 2021. Our stakeholders were involved in defining the road placement so that we see a safer, shorter all-weather and fit the purpose access road to the highway that will reduce pastoral interactions, avoid cultural heritage sites and if needed enable future operational expansions. On the processing side, the site is now in continuous operation with recovery rates here today in excess of 90% for copper and 80% for gold. We are expecting to start commissioning a new Jameson cell by the end of this year which should enable an increase in concentrate grade and quality above the levels already being achieved. On the projects and studies front the Block Cave expansion feasibility study stage 1 commenced during the quarter with a staged implementation and execution program currently under evaluation. Turning now to our Brazilian operations in the Carajás where the team produced about 2,000 tons of copper and 1,000 ounces of gold during the quarter keeping them on track to meet their annual guidance. We were able to further revise 2020 cost guidance downwards with C1 costs now at $0.95 to $0.110 U.S. per pound and all in sustaining costs now at $0.145 to $0.160 U.S. per pound reflecting favorable gold product revenue and exchange rate movements. Pleasingly we saw the first development ore from Pedra Brancha truck to the Carajás hub at Antas which is scheduled for processing during Q4 of this year paving the way for our hub and spoke approach in the province. As briefly mentioned earlier we were also able to resume resource definition drilling activities of Pantera and at Santa Lucia during the quarter both of which are showing consistent results with prior releases. We also completed 8 diamond drill holes south of the Antas mine at the Paes Carvalho prospect during the quarter with encouraging results. I have previously covered the highlights for West Mugrave project. So I won't repeat it here in the interest of time but I'm just going to flag that in terms of milestones we expect to release an updated West Musgrave pre-feasibility study supported by an updated ore reserve before the end of this year as a result of further optimization work nearing completion. At that time we will also map out our plan for the next phase of the study. This growth pipeline slide lists the projects in our pipeline that you will all be familiar with. I touched on the importance of ensuring we have a strong growth pipeline to allow us choice and optionality already. Over the past few years we've seen projects that started on the left of this pipeline move to the right. Some have fallen off as we prove that they work for us while others have continued to strengthen and mature. One of the ways we are experimenting with our exploration targeting approach is to tap on the power of the crowd to challenge our traditional approach to exploration. We're currently running two crowdsourcing initiatives one is called Drillanthropy aimed at data science driven exploration targeting in South Australia and it builds on the release of the results from the South Australian government's [indiscernible] challenge, another is the [indiscernible] in Peru where the existing exploration strategy in country is going to be supplemented by the generation of a data-driven domain map of Peru using satellite data. They're both examples of using an open source approach to exploration tapping into as many different ideas as possible. We will keep you posted on progress. On guidance, we've covered all of these changes already but let me summarize. With underground gold movement records achieved at Prom Hill and Cara during the quarter we were able to further reduce all in sustaining cost and C1 cost guidance, specifically Prominent Hills gold production guidance was increased to 190,000 to 200,000 ounces. Its copper production guidance remains on track for 55,000 tonnes to 65,000 tonnes. Group gold production guidance is now upgraded to 242,000 ounces to 259,000 ounces. Prom Hill C1 cost guidance for 2020 has been further lowered to U.S. minus $0.60 to minus $0.50 per pound and all in sustaining cost guidance lowered to U.S. $0.05 to $0.15 per pound. At Carrapateena copper production is expected to be in line with guidance while gold production is expected to be at the upper end of guidance for 2020 and other growth CapEx guidance has been reduced to 100 million to 110 million with the timing of some spend pushed into early next year. Finally just to touch on a couple of milestones for the last few months of this year which is traditionally a busy time for us with this year certainly is being no different. Prior to the yearend we expect to be able to release updates on a few key fronts, firstly and disappointingly whilst we continue to work on the removal of the CentroGold injunction it has slipped again notwithstanding that all indicators are positive. On a more positive note we are expecting to provide updates to our group mineral resource and ore reserves for Prom Hill we expect to provide an update on the shaft enabled Prom Hill expansion study which will aim to summarize our base case and the plan ahead. For West Musgrave we aim to release an updated project for feasibility study with updated supporting ore reserve and a pathway for the next study phase and we expect to be able to see Cara reach its nameplate 4.25 million ton per annum run rate all in the next couple of months. So in closing I'm really proud of the team. I think they've done a really great job this last quarter but there is still a couple of months to Christmas and we've got a lot planned so with that I'm now going to hand over to the operator and ask you to please remind people how to ask questions. Thank you.
Operator: Certainly. So ladies and gentlemen we will now begin the Q&A session. [Operator Instructions] Okay we have a question on the line just from Lyndon Fagan. Please ask your question Lyndon.
Lyndon Fagan: Thanks for that. Yes, look the first questions just on Carrapateena Andrew just wanting to concentrate a bit on the grade profile. So I guess the feasibility study had, I think it was 63,000 tons of copper between 2021 and 2025 which implies about 1.5%, 1.6% copper over those years and a bit ambitious to get there first quarter or next year. So I am wondering if you could give us a sense of how long it'll take to actually get to that sort of grade.
Andrew Cole: Yes. Hi Lyndon. Sure. So as I mentioned in my notes we're right at the top of ore body at the moment. So the first two levels are still are in the transition between the cover sequence and the ore body and we're right in the middle of the paleo weathering surface. So look it wasn't unexpected to see complex mineralization and complex grade distributions in the top few levels. I think what was a bit unexpected for us is a vertical fault that we've found that's got a probably steeper weathering profile in it that spans more than the top couple of levels than we're expecting. But as we get down to the lower level so from levels sort of three, four, five, six which we're moving into starting now, we will start to see that grade increase as we move out of the paleo weathering surface. So we're still comfortable with the guidance. We've issued both the annual guidance for 2020, the five year guidance we've issued for Carrapateena and we don't expect any changes to the reserve based on what we've seen today.
Lyndon Fagan: So sorry so, what should I be doing with the great profile heading into next year? Should it be gradually ramping up to 1.5 through the year or are we getting there a bit quicker than that? I'm just a bit confused on how to model it.
Andrew Cole: Well, the numbers we've given you Lyndon are the reserve grade which holds. So that reserve grade won't be changing and we've given you the guidance numbers. So you should be using those two numbers to actually build you a profile if you like. We obviously don't give detailed month by month data out to help you build data. So you can have to use averages, I would say in your model but we are transitioning out of a paleo weathered environment which is giving us about 1% and it will be trending to reserve grade over the next couple of levels. So you can use a linear approach I guess.
Lyndon Fagan: Okay and so, yes, okay. I will leave it there. Thanks.
Andrew Cole: Yes. Thanks Lyndon. Look I think the thing to remember with these ore bodies is they are complex ore bodies. So every time we drill more holes we get more information that helps us build a better picture. I wouldn't try and get too fancy by trying to predict week to week or month to month on these ore bodies. I would keep them at a fairly high level. On a gross quarter by quarter annual basis we're comfortable with the day we've given but we will see variability on a short-term basis.
Operator: Okay. Your next question comes from the line of Hayden Bairstow from Macquarie. Please ask your question Hayden.
Hayden Bairstow: Morning Andrew and team. Just a couple from me firstly just on the Prominent Hill we'll start even obviously out in November just looking at that image in the quarterly just are we thinking about or expecting to see this base purely off the reserve or are you are going to start capturing some of the resource in this study work just given you obviously you've been mining it for a while now so have some idea about -- about the ore body and then the second one is more of a, more for you Andrew just on nickel. I mean obviously own all of West Musgrave, I mean you said before getting confidence in the nickel outlook is one of the key things you have to get your head around, I mean sort of just interested to see where you're at the moment with being as confident in nickel in terms of the medium term as you are and if in copper and then likelihood of that project then getting full confidence from you and the board.
Andrew Cole: Yes. Hi Hayden. Thanks for those two. Yes, they're both very good questions. Things were actively thinking about. So let me start on Prom Hill. I mean the very question you've asked is the very challenge that we're dealing with for. For Prom Hill obviously we've got a reasonable reserve grade we've now got 10 years of history which has shown us on average we see an 80% resource to reserve conversion as we drill out in third resources. So it's got a reasonable track record of conversion but we also know that we've got a very large inferred resource sitting underneath and around our current reserve. We've got four drill rigs actively drilling that in third resource currently. The drilling is looking positive. We're generally seeing the grades come back that we're expecting based on the current resource model. The geology is proving to be fairly consistent and predictable. So I'd say things are looking positive from that perspective. The question for us is how much inferred resource should or should we not use in economic evaluations for this and I'd say that's what we're still grappling with at the moment to work out how much reserve that we will have to make an investment decision and this will be the basis for the conversation or the release that we will make in another month or so it's time but the very question you asked is what we're grappling with. I think what we will be thinking about is we'd like to see the payback period for our investment to be covered with a fairly high confidence of our resource itself but I think we also need to remember as you've rightly pointed out that the track record of conversion from resource to reserve at Prom Hill has been very good. It's been about 80% so and there is going to be a fair bit of inferred resource sitting outside or beneath the current reserve that we need to take into account. So look I'm going to hold off until next month to probably answer your question more definitively but that's exactly the question we're trying to work through now remembering that there are rules within [indiscernible] what we can actually use and can't use in terms of declaring production targets and valuation. So we're tackling that question at the moment. Nickel West Musgrave look we are spending time on nickel generally. I would say we're probably getting more optimistic and more positive about nickel market generally. Certainly the market is talking very positively about nickel. I think now that we've got 100% of the project that gives us a lot more flexibility. It gives us a lot more optionality. It is a very good project. We've spent some time recently optimizing the project as well. So we're doing everything we can to make this project as economically viable and resilient as we possibly can. I think the decision for us at the moment is not about whether we build the West Musgrave it's about whether we take West Musgrave to the final stage of its study if you like to get to a decision on whether we should build it or whether we should partner or whether we should sell it which is a decision for much later on but certainly all of the narrative that we're seeing in the marketplace around the world the penetration of electric vehicles, penetration of renewable energy, everybody's drive to reduce emissions more generally; all of those things point towards some of the key metals for the future which nickel is a key one being in more demand. So I would say we're probably getting a bit more upbeat about nickel as a commodity as we learn more about it and before the end of this year, we'll be able to update the PFS for you to tell you how we're thinking about the project currently and then map out the next study phase for you. So that's something probably for December Hayden.
Hayden Bairstow: Okay. Great thanks.
Operator: Okay. Your next question comes from the line of Nick Herbert from Crédit Suisse. Please ask your question Nick.
Nick Herbert: Hi Andrew, Warrwick I am pleased that it might just start on Prom Hill in that gold grade out performance. I'm just keen to understand that a little bit better how much of that was positive reconciliation from the underground versus the stockpile and whether you've brought forward that selective high gold grade stockpile material again or whether that was always due to conclude this year.
Andrew Cole: Yes Nick. The high grade gold stockpile was always due to conclude this year. So we're prioritizing the whole high-grade gold stockpiles this year over low-grade copper and gold stockpiles which will start next year. So the result is partly through improved underground performance. It's also partly as a result of improved recovery and performance in the plant. So it's probably the amalgamation of a few things that's actually let us produce a bit more gold and allowed us to increase our gold guidance for the year.
Warrick Ranson: I think the other thing nick is that we've been a little bit uncertain about the variability of the gold in the stockpile given the stage. So and we've been more comfortable I suppose now given another quarter’s performance and seeing that come through all. So.
Nick Herbert: Yes. Got that. Okay. Thanks. And then can you just remind us what the gold grade in the stockpile, the low grade reverts to next year and if there is any sort of planned selective processing around that or should we just model on that remaining reserve?
Andrew Cole: It's on the remaining stockpile reserve, Nick I don't have that at hand so I'll get Travis to give you a call afterwards but it's the published low-grade reserve stockpile numbers you should be using.
Nick Herbert: Okay. Thank you. A couple of more than the underground mining rate at Prom Hill just how you think about that rate over the next couple of quarters whether that sort of continues to advance and just I guess what you're targeting there?
Andrew Cole: Yes. So I mean the team has successfully hauled a million tons of gold for the quarter. So that's the number I think you should be using in the short term as we announced earlier a bit earlier on this year we are accelerating our main access decline down deeper into the ore body at the moment to access another development level and that's what will enable us to get above the 4 to up to 4 million to 5 million tons per annum but until such time as that development decline actually reached the development level and we can start producing from it. I would use the 4 million tonne number of [indiscernible] as the next as a number for the near term.
Nick Herbert: Okay. Thank you. And then final one, I know you touched on Andrew but just West Musgrave, are you able to talk a little bit more to, I guess conceptual timings, PFS coming out but how are you thinking around timing to the next stage feasibility if that's sort of the path that you go down, what that means for timing around conceptual development if you chose to do that or when this time would be to sort of run of sales process whether that would be post the next stage PFS?
Andrew Cole: Nick, I can't get into the details of the project that's what we're working on right now maybe I can talk about the things a bit more philosophically. We don't operate traditionally I guess. So now that we have a 100% of the West Musgrave growth project that gives us a lot more flexibility in how we think about the project. so we've effectively completed a pre-feasibility study today. We are going to update, we're in the process of updating that study which we will release before the year end and that's the result of some optimization work and will also be accompanied by an updated reserve to underpin it. In terms of next steps, we don't always or don't need to complete bankable or definitive feasibility studies. We will undertake study work. We typically undertake study work that is risk-based and value-based. So making sure we manage the key threats to the project and enable the opportunities for a project to then determine whether it's an investable project because time is valuable and speed is valuable. So what we're putting our thinking in at the moment is how we do that, what does that look like, what does that process look like to get more definitive understanding of the project risks and economics and what we'll talk about when we release the update later this year is that scheduled that timeline to get us to the next milestone.
Nick Herbert: Okay. Great. Thank you.
Operator: Okay. Your next question comes from the line of Sophie Spartalis from the Bank of America. Please ask your question Sophie.
Sophie Spartalis: Good morning Andrew and team. Look most of my questions have been answered. Just a few from me just in terms of Cara when is the next shot scheduled in I'm guessing ‘21?
Andrew Cole: I'm guessing here October, November, December it'll be a January thereabouts I'm guessing Sophia I think it's very early next year. I might have to come confirm that with you though but I'm pretty sure it's only next year.
Sophie Spartalis: Okay and is that a -- is that a major shut or are we going to have more regular sort of mini shut through 21?
Andrew Cole: Yes. More regular I mean so Prom Hill does 17 week rotations. So interventions and those shuts can be a few days to five days plus or minus. So that's what Cara effectively will be doing from here on out effectively. So they'll be frequent routine shots if you like that will be scheduled in. So we no longer now at Carrapateena need to shut the mill due to lack of ore. We're going to keep the plant running at full capacity effectively and move into a routine operation shut mode.
Sophie Spartalis: Okay. That's great. That's clear. And then just Warrick, one for you just in terms of the cash flow, your net cash of 18 mil, [I’m curious] talked through your forecasted cash flow in terms of the projects, I'm assuming that the cash generated from Prom Hill and Cara can still fund your capital needs for the rest of this year and maybe into next year or when do you significantly draw down or anticipate that you'll draw down on that revolver?
Warrick Ranson: Yes. So, we've got a $100 mil drawn down already, as part of our working capital funding that just gives us the liquidity. For the rest of this year Sophie, we're traveling sort of on a cash neutral level. So, we'll sort of see ourselves finish the year at around, I'm hoping around about the same sort of number. And then obviously we've got a dividend payment going that's gone out recently as well. So there will be a bit of variability in that, but then really I suppose into next year just depending on the project progress, et cetera. So, there is a bit of -- there is still some things to be worked through with that now. Yes, so we'll sort of see how we go into the first part of next year. We will probably likely to draw down a little bit more when we get there.
Sophie Spartalis: Okay. And then just remind me, you've paid the $50 million final payment for Cara. I think it was during this quarter. Is there any outstanding major payments that we should be aware of going into ‘21?
Warrick Ranson: No. Not in relation to Carrapateena.
Sophie Spartalis: Or anywhere else across the portfolio?
Warrick Ranson: No, not outside of - not outside of normal project expenditure, et cetera.
Sophie Spartalis: Okay. All right. That's it. Thank you.
Operator: Okay, your next question comes from the line of Paul Young from Goldman Sachs. Please ask your question.
Paul Young: Good morning Andrew and Warrick. A couple of questions on projects, first of all just on Carrapateena and the Block Cave studies, Andrew in the presentation and in your summary, you mentioned about looking into an accelerated execution on this project. Can you talk through that please?
Andrew Cole: Yes. Hi Paul. We're sort of valuing options at the moment. So what we've seen with the Carrapateena sub-level cave ramp up the performance of the plant, et cetera. The geotechnical properties, the way that the sub-level cave is fragmenting and the way the cover sequence is caving, they're all giving us very - a lot of comfort if you like about the design and the expected performance of the Block Cave. So there aren't that many material risks left to address with the Block Cave, so that gives us some options. So we are assessing the timeline for the Block Cave schedule if you like. So it's too early to draw any conclusions from that. We're just looking at options. Critical path though for us today irrespective of whether we move to the Block Cave or not as getting the second crusher chamber in and getting access to that. So that's still another year or two away. So that's critical path, but we will talk more about this pool as we continue to undertake what the options, assessment of the options are, but I would say we're getting a lot more comfort now around the likely transition that Carrapateena from a sub-level cave to Block Cave. The thing that we're just debating now is what is the optimal time to make that decision and that's the work in progress.
Paul Young: Okay. Thanks Andrew. That sounds interesting. Second question is on West Musgrave and actually around traditional owner agreements and heritage approvals in light of I guess some events in Western Australia over the last three months, the question is around the current West Australian Heritage Act which is under review and it's been under review for two years and I'm supposed to put forward the legislation in WA parliament this year that won't be the case, that'll be next year. But how you see heritage approvals of West Musgrave potentially being impacted by the review of heritage legislation in West Australia? Thanks.
Andrew Cole: Yes. Look it's a really good question Paul. Look to start with I would say we don't rely on acts or regulations to determine how we work with our stakeholders. We have our own internal frameworks on how we want to work with our stakeholder groups. So let me use Carrapateena as a start and then I'm going to move to West Musgrave. We said to the Carrapateena Kokatha people right from the very outset that if they didn't want us to build Carrapateena, we wouldn't. And we've had them involved in every part of the process all the way through even for the Western Access Road, they have literally walked with our design engineers every inch of the road to make sure that the road is placed in a location that would not impact any sensitive areas that the traditional owners held close to their heart if you like. And we're taking exactly the same approach at West Musgrave. So COVID made it quite difficult obviously because we couldn't get back out onto the lands physically to actually go and walk the project site up until very recently. So pleasingly we got our team back at out to West Musgrave about a few weeks ago and they spent a couple of weeks literally walking the entire project site with the traditional owners and all different types of people from the local community so that we could explain the project, take on board the community's feedback such that we are now ready to submit our EPA part 4 referral which has completely built into it all of the feedback from the local traditional owners so that it's a joint submission effectively between ourselves with the support of the groupsand that's the way that we approach our work. And I would say that gives us a much -- it gives us a much greater understanding of how both what's important to both groups and both parties and as long as we continue to take this approach which we will, it exceeds any of the regulation or regulation requirements that state and federal governments actually want to see.
Paul Young: Yes, great and you've got a good track record there just the question a further one is do you actually have a, have you signed a legal agreement or a land use agreement with the traditional owners of West Musgrave yet?
Andrew Cole: Yes, we have. We have a land access agreement with the number of people already and that's what we're working on, that's what we're undertaking our work on. There are other agreements that we will need to work through though to enable mining if that ever gets to that point but certainly, we've certainly got the access agreements in place with them already.
Paul Young: Yes. Okay. And last one Andrew just I'll throw the old section 18 term out there. Do actually when this project will go to section 18 approval? I mean that obviously the whole approval process and terminology will change but in effect when you think you will be going for section 18 approval?
Andrew Cole: Yes. we won't be Paul. We won't be taking that path. We will be doing this with the approval of the traditional owners which will not necessitate a ministerial override if you like.
Paul Young: Okay. Great. Thanks. Thanks for the details.
Andrew Cole: Thanks Paul.
Operator: Okay. Your next question comes from Daniel Morgan from UBS. Please ask your question Daniel.
Daniel Morgan: Hi Andrew and Tim. I just want to check back on the Cara grade on the initial levels that you've talked about earlier. Just wondering if what you're seeing has significantly concerned you enough to do more drilling on those levels that are below level three? Are you looking to get more confidence in what's there? Are you doing more drilling? Thank you.
Andrew Cole: Hi Daniel. No, we're not adding drilling to our pathway ahead. The drilling you need to cover drill the levels in any underground mine including a sub-level underground, sub-level caving underground mine because you need to understand the geotechnical conditions, etc. etc. So the drilling that we're doing now was planned it was in budget in scope and we will continue to drill the whole ore body top to bottom when we get the access levels in that allow us to do that remembering the Carrapateena historically has only been drilled from surface so because it's 500 meters deep nearly all the drill holes in the Cara are vertical or sub-vertical. So the drilling that we're now doing gives us the horizontal view to the ore body and we will find things that we didn't know there'll be positives and there'll be negatives in that that'll produce variability but that's something that we need we will continue to do for the life of the mine.
Daniel Morgan: Okay. Thank you. And on the recoveries on the plant, they've been a bit better than expected particularly on the gold. Can you extrapolate any of that or is it too early because the plan is not fully utilized at this present time?
Andrew Cole: Daniel look, I think it's a good question that's one we're grappling with a little bit. It's not the plant that would stop us extrapolating these. It's the nature of the mineralization in the paleo surface. So the ore that we've mined on the top few levels is not representative of the rest of ore body because it sits at a patio surface and has had some weathering so some of the mineralogy has been slightly changed if you like. So we need to see how the deeper ore levels perform through the plant before we would extrapolate any improved recovery through the rest of the ore body. I think it's very encouraging what we've seen today and it gives us hope that we will see better recoveries but I wouldn't extrapolate them yet.
Daniel Morgan: Okay. Thank you and the Prominent Hill electricity contract, I'm just wondering if it's possible to help us quantify the benefit that you're flagging here at all? Is there anything you can say to put it into dollars or costs that we can think about?
Warrick Ranson: No. Not really. I think you could, well probably if you used a sort of a reduction of about $0.05 a pound then I think that would give you enough guidance in terms of the electricity in feed what we will have to offset that as we said there is the additional costs of the, on the leasing of the transmission line. So that will be something that we will have to come back on.
Andrew Cole: So Daniel, I wouldn't think of the power line as a cost saving activity. This is an opportunity enabling activity. So the power line notwithstanding we've got a good power contract now in place as well but the power line effectively means we are standalone. We have all the power we need tapping straight into the grid in the backbone of the grid to run our assets using 50% renewable energy which gives us a good kick start on our zero emission target we've set for ourselves but it also provides the capacity for us to expand Promi hill and Cara should the studies demonstrate that they're viable. It also has enough capacity for other third parties to use that line either generators to tap into it or consumers wanting to take from it. So I think it's not only good for us minerals but it's good for the site which helps obviously with our local reputation and the brand that we're building.
Daniel Morgan: Yes. Okay. Thank you very much for your answers.
Operator: Okay. Your next question comes from Peter O'Connor from Shaw & Partners. Please ask your question Peter.
Peter O'Connor: Andrew, Warrick, hi congratulations. Warrick, just back to the power question you did say in your commentary that the power electricity supply agreement did strike from January 1 would lower your cost by 20% in year one and 12% further reduction year two and that represents 15% of all input costs. So and then you've mentioned that the leasing would be offsetting that. So can you shape those numbers around the $0.05?
Warrick Ranson: Yes. The $0.05 in relation to the electricity reduction only. So what we haven't quantified, what I haven't referred to I suppose is the additional leasing costs that will come with the [Boeing] contract and that that equipment will have to that'll come out in Q4 once we finalize our leasing accounting effectively and work through that. That's a 20 year lease. So effectively that's a long-term debt commitment that will then sit within our balance sheet. So I can't quantify it today Peter to you but yes we'll see that come out in Q4.
Peter O'Connor: So to be clear power represents 15% of all the input costs after the 20% and 12% reduction or that's what it is today before those 20% and 15% reductions.
Warrick Ranson: It's roughly 15% of input costs for Prominent Hill today.
Peter O'Connor: Today. Okay. Got it. And Andrew just move back to you Carrapateena just in terms of determining the run rate of 4.25 million tons, you outlined that during the quarter September you had 22 days I think it was where you'd run at that rate. How many days or what's the trigger or the hurdle you need to get to be able to define it as you've achieved that milestone?
Andrew Cole: Peter, so the 4.25 million target if you like Peter is the whole system. So mining, processing and the whole value chain. To-date the plant has exceeded its nameplate capacity for long periods of time. So it's not a plant constraint it's a mining constraint and Carrapateena between a sub-level cave will always I suspect be a mining constrained operation and that's what we said right in the outset in the underground development rate is the key KPI for Carrapateena. So plant's not constrained it's mine.
Peter O'Connor: And is there a number of days they have to run for it that the mine at that rate to define that has been achieved?
Andrew Cole: We haven't really set it to that period but a circle of a month I think if we see a month worth of mining activity at that sort of rate would be comfortable.
Peter O'Connor: Okay. Got it. Warrick back to you. Costs just this could you split out or define the cost step down in C1 costs that you've taken down today from the previous guidance, how much was gold, FX, etc. And denominator effects? And is within that the Brazilian Real how much did that contribute to the Brazilian side cost improvement?
Warrick Ranson: Yes. There is a little bit on the, I mean from a weighted average point of view we don't, it doesn't have Brazil doesn't have a major impact on our sort of group level costs. We've shown obviously the FX adjustment for Prom Hill in terms of the information in the pack. I'd have to come back to you Peter in terms of the overall impact -- so
Peter O'Connor: Okay. And just lastly gold price when you talk about updating the gold price is that just the year-to-date gold price then going forward split? Is that how you update your buy product gold price?
Warrick Ranson: Principally yes.
Peter O'Connor: So that 1600 is 1758 that's just quarter of the day average is updated plus the spot from you?
Warrick Ranson: Yes. Take it through to our four-year estimate. Yes.
Peter O'Connor: Great. Thank you.
Warrick Ranson: Thanks Peter.
Operator: Okay. Your next question comes from Rahul Anand from Morgan Stanley. Please ask your question.
Rahul Anand: Hi Andrew, Warrick. Thanks for the opportunity. Look a lot of the questions I've been asked but I wanted to touch a bit more on West Musgrave. I just wanted to understand the scope of that optimization, is that purely focused on the metallurgy side are you looking at perhaps the mine plan and looking to optimize there?
Warrick Ranson: Yes. [indiscernible] the whole thing. So there is some optimization in metallurgy and plant. We're also been working on power and we've been working on mining. So mine design mine planning and scheduling. So it's the next level of optimization if you like which is what we're going to sort of pull together into an updated pre-feasibility study such that when we take it to the next phase of study if we do the option we assess is a single option that we can rapidly progress.
Rahul Anand: Okay. And you did talk in your release about the Centro Injunction, I mean all indicators being positive, are you able to point out a few as to what you're seeing from there?
Warrick Ranson: Well, yes I can I was hoping to not have to talk about Centro Injunction so one area that really disappoints me heck to a degree. So yes, look [indiscernible] which is the primary group that we need support from before we can take it to judge to get the removal of the injunction is supportive at federal state and local level and they've all said that's the case. We just need them to write the letter of recommendation effectively. We've been working on our relocation plan which they want us to see. So this is the small 40-odd people community relocation plan they wanted to see how we would do that before they gave us that letter of approval. We've now done that. We've produced the relocation plan. They seem very comfortable and satisfied with it. They just need to write up the letter so we can then take that to the judge to have it removed and it's that last step that we're just working through Rahul. So yes, look I'm hopeful, I'm optimistic but I've been here for quite some time. So there is not much else I can, there's not much else I can give you at the moment but that's the piece we are working on.
Rahul Anand: Okay. Perfect. Look last one perhaps asking a question that's been asked before a bit differently. So Prominent Hill obviously going pretty strong here. What are some of the key impediments in terms of you sustaining or rather even improving this run rate from here?
Warrick Ranson: Sure Rahul. So right now we've got enough development and enough mining areas to sustain a 4 million tonne per annum run rate. So that's what we -- you can pretty much hold as your base case if you like for Prom Hill going forward. For us to be able to get above 4 million tons per annum we need another mining front. So as we announced earlier this year we committed to accelerate our main access to client to get down to a deeper level to open up a new stopping mining front and that's what we're currently doing. We expect to be able to start producing from that next year. That is what will enable us to get up to above 4 million tons per year is once that actually opens up but we first got to get there and until such time as we get there and start building out those new stops we won't be able to go above four.
Rahul Anand: Okay. Perfect. All right. That's very helpful. Thank you.
Warrick Ranson: Thanks Rahul.
Operator: Okay and your last question comes from Kate McCutcheon from Citigroup. Please ask your question Kate.
Kate McCutcheon: Hi Andrew, just on the grades at Cara and appreciating that it's early days, do you have a feel or can you provide some comments on how both your mining recoveries and the mining dilution are performing compared to study expectations?
Andrew Cole: Yes, Kate look they're basically as planned. So we're pulling the caves, the sub-level caves to a model and to a forward mine plan. So we control the rate at which we're pulling remembering that for the top three sub levels we're not taking 100% of the material. So we're leaving about half of the three top levels in place to provide an all blanket. So we're very much controlling that and that's going to schedule and we're seeing no dilution yet. That's not really a risk in the short term. That risk is something we'll see in many years to come if or when we start to see the cover sequence start to percolate through that cover or that wall blanket that we're leaving. So both of those Kate are going to plan.
Kate McCutcheon: Okay. Great. And then just a Prominent Hill the conceptual expansion layout you provided looks to have cut a section of stoic to the east of that layout picture compared to what you told what to the picture you gave a year ago. Is that based on drilling or what's driving that ore?
Andrew Cole: Yes. In essence, it is Kate so it's based on drilling and further mine designs if you like. Look I'm pleased you asked this question because I want to answer Hayden's question again the way that we are thinking about the Prom Hill expansion internally is that we feel we have enough historical confidence from resource to reserve that we are considering 80% of the inferred resource would probably make it into mining inventory from an internal perspective and that's likely what we will use to demonstrate the justification for the expenditure of the project. Externally we're governed by [indiscernible] and we're still working through whether we can include the conversion of that inferred resource into mining inventory which you need to be able to declare production targets and valuation metrics. So that's the delta the challenge that we're working through at the moment. That's the way we think about internally versus how we need to talk about it externally and that's the fine balance we're working through.
Kate McCutcheon: Yes. Okay. I understand. Thank you.
Andrew Cole: Thanks Kate.
Operator: Okay. There are no further questions at this time. So I'll hand back to your presenters for any closing remarks.
Andrew Cole: Okay. Well, thank you very much operator. Thanks everybody for joining the call. If there's anything you'd like to talk about post this call please give Travis a call and we'll get the right people in the room to hopefully answer your question. Thanks again.
Operator: Ladies and gentlemen that does conclude today's conference call. Once again thank you for participating. You may now all disconnect.